Company Representatives: David Vélez - Founder, Chief Executive Officer, Chairman Guilherme Marques do Lago - Chief Financial Officer Youssef Lahrech - Chief Operating Officer Jag Duggal - Chief Product Officer Federico Sandler - Investor Relations
Operator: Good afternoon ladies and gentlemen. Welcome to the Nu Holdings Conference Call to discuss the results for the fourth quarter 2021. A slide presentation is accompanying today's webcast, which is available in the Nu’s Investor Relations website www.investors.nu in English and [Foreign Language] in Portuguese.  This conference is being recorded and the replay can also be accessed on the company's IR website. This call is also available in Portuguese. To access, you can press the icon on the lower right side of the zoom screen and then choose to enter Portuguese room. After that select mute original audio. [Foreign Language].  Please be advised that all participants will be in listening-only mode. You may submit online questions at any time today using the Q&A box on the webcast.  I would now like to turn the floor over to Mr. Federico Sandler, Investor Relations Officer at Nu Holdings. You may proceed. 
Federico Sandler: Thank you very much operator. Good afternoon, everyone and thank you for joining our earnings call today. If you have not seen our earnings release, a copy is posted in the results center section of our investor relations website.  With me on today's call are David Vélez, our Founder, Chief Executive Officer and Chairman; Guilherme Marques do Lago, our Chief Financial Officer; and Youssef Lahrech, our Chief Operating Officer. Additionally Jag Duggal, our Chief Product Officer will be joining us for the Q&A section of the call.  Throughout this conference call the company will be presenting non-IFRS financial information, including adjusted net income. These are important financial measures for the company, but are non-financial metrics as defined by IFRS. Reconciliations of the company's non-IFRS financial information to the IFRS financial information are available in our earnings press release.  Finally, before we begin our formal remarks, I would like to remind everyone that today's discussion may include forward-looking statements. These forward statements are not guarantees of future performance and therefore you should not put undue reliance on them. These statements are subject to numerous risks and uncertainties that could cause actual results to differ materially from the company's expectations. Please refer to the forward looking statements disclosure in the company's earnings press release.  Now, I would like to turn the call over to David Vélez, our Founder and CEO. 
David Vélez : Thank you, Federico, and thank you all of you for joining us today. This is our first earnings call as a public company and the first time we speak directly with a number of investors. We very much welcome this opportunity and look forward to transparent and constructive dialogue with all of you over many years to come.  Well today, we will be discussing a strong quarter with important improvements across key metrics. Many of you on this call may be new to our store. So I would like to take this opportunity to talk a little bit more about Nu, including our values and mission, our growth strategy and our powerful ecosystem.  Subsequently Guilherme Marques do Lago, our CFO, and Youssef Lahrech, our COO will take you through our performance in Q4, 2021, after which time we’ll be happy to answer your questions.  So let me start by telling you about our IPO Process. Nu was born with a mission to fight complexity to empower people and we've been doing so relentlessly in Latin America since we were founded in 2013. However, how we accomplish our mission is just as important as accomplishing the mission itself, where our IPO was no exception. We certainly wanted to accomplish a very successful IPO offering, raising approximately $2.8 billion, but we wanted to do so in a way that was aligned with our core values, aligned with our values of always putting our customers first and working backwards from there, and align with our value of challenging the status quo.  How have we accomplished these goals in our IPO? First, we decided that we needed to allow all of our customers to participate in it, irrespective of them prevailing conventional wisdom that a public equity offering targeting our Brazilian retail investors was both unnecessary and incumbent. We structured our IPO as according to a listing in both Brazil and the U.S., allowing for all of our Brazilian retail customers to invest in Nu. It was the first such dual listing in the history of the country.  Second, we decided to honor the trust placed in us since our earliest days by gifting a piece of the company in the form of one Brazilian Depository Receipt or BDR, each to millions of our customers in Brazil. More than 7.5 million customers joined this program, which will help multiply the number of Brazilians financially including the investment world. It was the largest Directed Share Programs, DSP, ever made globally and the innovation capital markets did not step there. We also offered shares to our customers in Brazil, where over 800,000 made a paid reservation. These represented the largest number of retail investors to participate in a Brazilian IPO ever. The IPO marked the beginning of another chapter as we mature as a company, and most importantly it will enable us to expand, deepen and strengthen our relationship with our customers. We could not be more excited with the opportunities ahead of us. We will continue to pursue this opportunities relentlessly and we will continue to assess these opportunities based on their potential to accrue value to Nu and its shareholders in the long term. We are and will continue to be long term focused, and if needed, will put the long term interests of the company ahead of short term results.  Since the very beginning we have seen ourselves as a technology company that happens to be in financial services, and not a bank that has a better website or a better app. Our strategy is focused on four main differentiating pillars. We have a mission driven culture; we are on a mission to drive much more inclusion, competition and efficiency into financial services in Latin America.  Number two, we are a customer obsessed company and spend a lot of time understanding customer pain points. Then we're working backwards to build phenomenal user experience. Number three, we are a technology company at heart. We build our own technology, including our proprietary core banking system using our own programming language and that ultimately gives us the ability to control our destiny, continuing to scale our platform with lower and lower costs and much more efficient.  And finally, since the beginning we have been an AI and machine learning first company. We initially applied these technologies to a very large market, unsecured credit in Latin America. And now we have applied these capabilities to different areas of the company. We've always thought that strong competitive advantages in data science, machine learning and AI, were going to be relevant competitive modes and we believe we maintain edge on these fronts. These all translate into unique customer experiences that are simple, convenient, low cost and empowering.  We have built one of the largest digital banking platforms in the world with nearly 54 million customers in Brazil, Colombia and Mexico and are still growing at a pace of about 2 million new customers per month. I would draw your attention to three things in the chart on this slide.  First, Nu started with a credit first approach, beginning with credit cards. Starting with credit is hard. It requires you to develop proprietary credit underwriting capabilities, state of the art data platform and local currency funding. But we believed it was a worthwhile path to take. Consumer credit is where 70% plus of the profit pool of the industry is. Since the launch of our company in 2013, we have navigated extremely difficult macroeconomic environments, including the largest recession in Brazil history and our pandemic. All of this has forced us develop robust risk systems in a generally conservative underwriting approach.  Second, most of our customers come to Nu organically, through word of mouth, allowing us to scale very fast while having one of the lowest customer acquisition costs in the industry. This is a testament of the unique customer experiences we deliver. Our NPS is in the 90s, which we think is among the highest, if not the highest, in the financial services industry global.  And third, over 5 million of our customers didn’t have a bank account or credit card when they became our customers. This shows that we’re helping grow the size of the market, and we're just not simply gaining market share from e-comm players.  We think of our business model as a two part ecosystem. On one end there are 52 million plus consumers in Brazil, Colombia and Mexico; and on the other end there is 1 million plus small businesses or SMEs. Our products are both parts of this ecosystem and are composed of proprietary solutions that we are building house, just for credit cards or personal loans or mobile payment platforms, and also third party solutions provided by first class product partners such as our insurance, secure loan, e-commerce and default products and services.  We expect that these solutions, both products and services will expand fast, while the two sides of the ecosystem continue to grow in both size and engagement. And we are moving fast on the front. We enhanced our marketplace initiative as expand our platform to strategic partnerships. We are pleased to report that we ended the year with over 20 partners across nine different verticals. During the fourth quarter we imported large financial services and non-financial services players, including Michael Liu, [inaudible].  We are also reaching important milestones in our international expansion, where Nu model has proven to be exportable as we continue to be our most optimistic forecast in our Nu geographies. In Mexico we ended Q4, 2021 with 1.4 million customers or over 7 million applicants in a record high NPS of over 90. We believe we have already become the largest Nu credit card issuer in Mexico at this time.  In Colombia, the third country that is part of our international expansion today, results are equality encouraging, as we have learned to launch in a new country more effectively and efficiently over time.  Nu has many different growth vectors to fuel its expansion over the coming decade. From continuing to grow our customer base, to offering new products, to geographic expansion, we are in the very early innings of this journey. There is also significant opportunity to further monetize our customer base. This will happen to both additional up-sell, as well as cross-sell initiatives, including proprietary and third party products. And this monetization will be realized using a low cost for any platform, highlighting the operating, leverage of our business model.  Now, I'd like to turn the call over to Guilherme Marques do Lago our CFO and Youssef Lahrech, our COO who will review our performance in the fourth quarter of 2021 in more detail. Thank you. 
Guilherme Marques do Lago: Thank you, David. In the fourth quarter and the full year of 2021 we delivered a very strong set of operating and financial KPIs. We did so by leveraging our simple yet powerful value generation formal.  First, continuing to grow our base of active customers in Brazil, Mexico and Colombia. Second, continuing to increase the monetization of our customer base by expanding the average revenue per active customer or RPAC as we introduce more products and features and our customer cohorts mature. And third, delivering all those growth while maintaining one of the lowest cost operating platforms in the industry. We believe the Nu has very high operating leverage potential, driven by deep cost advantages across the four traditional cost fields or financial services; low customer acquisition cost, low cost to serve, low cost of risk, and low cost of funding. These cost advantages are expected to deepen as our eco system expense.  Now, let's take a deep dive into the quarterly results of our business. During the fourth quarter of 2021, we added almost 6 million customers, mostly coming through organic channels and representing over 60% year-over-year growth. More importantly, this growth has not come at the expense of customer engagement. On the contrary, our monthly activity rate grew from 66% in the fourth quarter of 2020 to 76% in the fourth quarter of 2021, all this while we added over 20 million customers to our base in the period.  We are not in the business of just collecting social security numbers. We are in the business of becoming the primary banking relationship of our customers, both consumers and SMEs. As you can see from the three charts on this side, the compounding effect of higher engagement in our customer base, with more products and features in our ecosystem has proven very powerful. It has driven the monetization of our customer base, as reflected in the expansion of the average revenue per active customer or RPAC.  During the fourth quarter we continue to achieve RPAC expansion. Our average RPAC reached at $5.6 per month in the period, but the RPAC of our more mature cohorts already exceeded $15 per month. We expect this trend to continue as customer cohorts continue to mature and we add new products and features to our ecosystem.  The combination of more customers, more active customers, and higher RPAC enables us to grow revenues at tipple digit rates. In the fourth quarter of 2021, our revenue reached $636 million, increasing year-over-year by 224% on an FX neutral basis, mainly driven by the increase in transaction volumes and strong growth in our interest earning portfolio.  Let's move on to purchase volume, a key KPI to track and understand the progress of our cards business over time. During the fourth quarter of 2021, purchase volume reached $14 billion, growing almost 100% year-over-year on an FX neutral basis. This strong evolution in purchase volumes during the quarter is a result of a growing and engaged user base, the continued maturation of our cohorts and increase in usage across our product portfolio, that includes credit card, prepaid cards, secured cards are the premium ultraviolet cards.  Let's have a look at our credit portfolio, another key driver of our revenue growth. During the fourth quarter of 2021 we continue to post above market growth rates in our core, consumer finance products, credit cards and personal loans. In the three months ended December 2021, our credit card receivables portfolio grew by 21% quarter-over-quarter and 78% year-over-year, both on an FX neutral basis. We estimate we outpaced the market in Brazil by 2x.  Also during the fourth quarter, our personal loan portfolio grew by 58% quarter-over-quarter and 7x year-over-year, both on an FX neutral based. We estimate our market share in terms of personal loan portfolio expanded from less than 1% in December 2022 to approximately 4% in December 2021. But I would like to point out that we are still in the very early days in personal loans.  Now, let's take a look at our deposits base, which continues to attract very strong net inflows. One of the key pillars of our business model is that we continue to fund our operations primarily with local currency retail deposits. We believe that having local currency retail deposits at competitive rates is key to funding our consumer credit business at scale, and superior to other sources of funding such as wholesale funding or securitization.  As we continue to witness this strong trend in people in SMEs, shifting from branch based banking to digital based banking, our deposits franchise continue to grow at very steady pace. As of the fourth quarter of 2021, our deposits which are almost $10 billion, our year-over-year growth rate of 87% on an FX neutral basis, with an average funding cost that is lower than that of the risk free rate in Brazilian CDI. Additionally, given the growth in our deposit franchise, we can comfortably cover our interest earning portfolio, with retail deposits. Moving on, let's take a look at our cost to serve per active customer; a key pillar to appreciate, the operating leverage of our business model. This metric has decreased over 20% year-on-year as we gain operational efficiency resulting from our increasing customer base. It is a guidepost that gives us the confidence that we are on the right track in the pursuit of strong operating leverage as we continue to see our RPAC outpacing cost to serve per active customer.  In the fourth quarter of 2021 and in the full year of 2021 we posted record gross profits of $227 million and $733 million respectively. While gross profit margins remain stable for the full year, we saw lower gross margins in the last quarters of 2021, as a result of the very strong growth in our interest earning portfolio in this periods and our loan loss provisioning methodology that front loads the recognition of provisioning under IFRS.  Moving on to adjusted net income, let me quickly walk you through the adjustments we made to GAAP net income to arrive at this metric, in order to give you a better sense of the recurring profitability of our business. As we define, adjusted net income has profit allocated to our shareholders, adjusted for expenses related to share based compensation in our IPO, as well as the tax effects applicable to the sites.  As you can see and as a result of our growing scale, we are beginning to reap the benefits of operating leverage on an adjusted net income based. This is an important data point as it gives us the confidence that we are on the right trajectory with our earnings formula. For a detailed reconciliation between our net income and our adjusted net income, please refer to the appendix of this presentation.  Now, I’d like to turn the call over to Youssef, our Chief Operating Officer, who will walk you through our credit and lending. 
Youssef Lahrech : Thank you, Guilherme. Let me know walk you through a few key indicators that track asset quality and the overall health of our credit portfolio.  In Q4 of 2021, credit performance remains strong. With delinquencies normalizing along expected lines, but still below pre-COVID levels when adjusted for portfolio mix between credit cards and lending. We expect the normalization to gradually continue and reach pre-COVID levels for both credit cards and for lending. We are underwriting based on these writing loss expectations as a baseline, and then requiring that every loan that we originate be resilient to risk worsening on top of that, resulting in cohorts that are able to withstand approximately at doubling the risk depending on the product and segment.  Now before I go further, I would like to recap the impact that expected credit loss or ECL as a loan loss provisioning methodology has on the consumer finance business with high growth rates, as is the case of our credit card and personal loan businesses. Per IFRS 9, loan loss provisions has to be recognized when a loan is granted, even before any revenue associated with that loan is accrued. This results in an intentional timing mismatch between revenues and costs.  For this reason, the higher our growth rate is, the higher the provisions we have to book are. And as Lago mentioned earlier, this negatively impacts the gross profit and gross profit margins during periods of high growth. And as growth rates normalize, vertical gross profit margins are expected to converge over time towards those of material cohorts.  Moving from this basic concept to our actual experience, the charts on the slide show the average evolution of risk adjusted margins or RAM for our credit card and personal loan cohorts. We define risk adjusted margin simply as revenues, minus funding costs and minus cost of risk expressed as a percentage of revenues. As you can appreciate in earlier months, the risk adjusted margin is negatively impacted by the accounting recognition of non-cash upfront loan loss provisions I spoke about a moment ago. Then as revenue begins to accrue, RAM quickly expands and converges towards a 60% level or more for both products, with a payback period that is around six months or less.  We are very deliberate in terms of which credit products we manufacture ourselves versus distribute. We tend to prefer products that have shorter duration, and are more data intensive, as this plays to our underwriting strengths.  Having shared these perspectives on credit and asset quality, let me now turn the call back to David Vélez, our Founder and CEO for his concluding remarks. 
David Vélez : Thank you, Youssef. We have delivered another great year that has been effectively all of our metrics improving and accelerating, and our successful IPO has given us a strong footing to pursue our strategic milestones in 2022 and beyond.  We believe the secular market trends that are accelerating our growth, such as significant immigration towards digital financial products and growing financial inclusion across the region remains as strong as ever and we remain focused on disciplined execution against our priorities and continuing to advance our business.  We look forward as always to keeping you updated on our progress next quarter. And now, we’d like to take your questions. Thank you. 
Operator: We will now start the Q&A section for investors and analysts. [Operator Instructions]. 
Federico Sandler: Thank you, operator. The first question is coming from [inaudible]. Can you please open the line?
Unidentified Analyst : Hi, good evening! Can you hear me okay. Hi, can you hear me? 
Federico Sandler: Yes sir. 
Unidentified Analyst : Okay, great, thank you. I’m sorry, I was having trouble with my computer. But thank you for the call and the presentation and take my question.  I guess my question is in terms of your revenue per client. Saw some good evolution in the quarter. Clear you have been able to grow the loan portfolio. Any guidance or color you can give on how that revenue per client can grow this year, particularly given some of the macro risk and your ability to continue to grow the loan portfolio. And you know, good behind that, like how much of that come from continue to grow the loan portfolio and also with fee income growing also at a healthy pace. Do you expect any color on how the mix would evolve between the loan fees to benefit the revenue per clients? Thank you. 
Guilherme Marques do Lago: Hi Tito [ph]! This is Lago. Thank you so much for your questions. It's certainly a great one and if evolution of the average revenue per active customer, it's something that we are monitoring very closely.  If you go to slide 13 of the earnings presentation, you will see there the evolution of RPAC or Average Revenue Per Active Customer and you can see that it is going up across all of the cohorts, our average RPAC has achieved about $5.6 per month per active customer, coming from about $4.9 last quarter, but more importantly the more mature cohorts already operating at now over %15 per active customers per months. And in fact if you take a look at now the customers who have our three core products; credit card, bank accounts and personal loans, they’re RPAC are already at now above $30 per active customers per month.  So we think that now RPAC will continue to go up over the course of 2022, and going forward as a result of two things. First, that it's something that is not necessarily fully appreciated by many investors is the maturation of the cohorts. As the cohorts season, as the cohorts mature, you can see that we become the primary banking relationship of more and more of those customers and we increase the usage and the engagement and the purchase volumes with our core products. And then secondly it's the cross sell, as we launch new products, as we launch new features, we actually increased this now average revenue per active customers.  In 2022 we do expect that we will continue to pursue a very strong, growth in both credit products, as well as non-credit products, and we believe that credit card, personal loans will continue to play a key role there, but other products will start to you know kick in more aggressively in their contribution to the RPAC. We are not however providing guidance on the RPAC levels for 2022 and going forward.
Unidentified Analyst: Great! Thank you, Lago. That’s very helpful. Maybe one follow-up and pointed to a slight 13 on the presentation, right, in the past all the cohorts looked like – so about 57 months to get to that $15 but I guess the newer cohort seemed to be getting there, may be a bit faster. Is that fair to assume that with time that you can shorten the amount of time to reach that $15 RPAC per client as you kind of continue to grow and maybe showing a period from that 5 years to, I don't know, three four or any color on the timing that you can think to take to get to the $15 RPAC. 
Guilherme Marques do Lago: Yeah, I know it's a great question Tito [ph]. Sorry it’s a great question Tito and I think it is somehow unfair comparison across the courts, because the earlier cohorts, we only had no-bank accounts and credit cards. So we had a much more limited product portfolio. As we launch more products, as we launch more features and as we crosssell more of those products as you can see on the slide, right in the middle off 13, the RPAC potential and the LTV of our customers go up. So yes, it is I think reasonable to assume that, the Nu customers of the Nu cohorts will be able to mature faster with more products than the earlier customers from the earlier cohorts. 
David Vélez: Okay, great, thank you Lago. That’s helpful and congratulations on the strong results. 
Guilherme Marques do Lago: Thank you, Tito. 
Federico Sandler: Thank you, Tito. The next question is coming from Jorge Echevarria from Morgan Stanley. Can you open the line please? 
Jore Kuri: Hi! Its Jore Kuri from Morgan Stanley. Hi! Good afternoon everyone. Congrats on the great numbers. I have a question on your revenue outlook for this year. You beat market expectations on revenues this quarter by around 18% vis-a-vis the consensus revenue per active customer be it was around 15% and your net adds were well above what the market was anticipating.  So as we think about 2022, the current consensus on net revenue is around $2.9 billion. How do you feel vis-a-vis that number? Where do you think are the potential upside risks to the number, meaning what parts of your business are doing better. You think you can actually outpace that? And on the other hand, what do you think are the risks to that number, where that number may prove to be optimistic. What are some of the things you are looking closely at? That would be incredibly helpful. Thank you. 
Guilherme Marques do Lago : Jore, this is Lago. Thank you so much for your question. Look, unfortunately we do not provide financial guidance to the market. We very much appreciate the arguments in favor of guidance. We just believe that its costs outweigh the benefits for the company at this point in time. So we will – we are and we will continue to be long term focused and if needed we will put the long term interest of the company ahead of our short term results. And that's the reason why we have not provided guidance in order to maintain the culture and the focus of management team in the long term.  Having said that, we do expect now 2022 to be a strong year for us. We think that we are going to make good strides across many products, both credit and non-credit and more importantly I think we’re going to make, very good strides and Nu deals. The operations that we have launched in Mexico and Colombia, have been having very encouraging signs of success.  Mexico was the first country that we launched outside after Brazil. We now have, as you may have seen, over 1.4 million customers in Mexico as of December 2021. We believe that we have already become the largest issuer of new cards in Mexico in the fourth quarter. So we will be expanding products, we will be expanding dues and we will continue to expand the number of customers. And unfortunately I will not be able to provide you with much guidance on whether we think we will or will not beat market consensus and by how much. I hope you can understand Jore.
Jore Kuri: No, I understand Lago, Thank you. But, I guess just to focus, I mean, I think it's pretty evident to everyone what could be the sources of potential upside. Can you maybe talk about the risks to the on 2022 revenue number? What do you say are the top three risks that management is looking closely at, following closely and how do you expect those to play out during the year.
Guilherme Marques do Lago : Jore, I think on the risks that we have, I think what it will be kind if I move the needle more strongly in 2022, is we will have to continue to see our cohorts mature. We have seen the cohorts maturing and we have seen the purchase volume per active customers go up, I know 5x to 6x over time. We believe that this will continue, but it's a risk going forward.  The second risk that is inevitable, that we will be watching very closely and we are hyper focused, is on monitoring the asset quality of the portfolio and we are not blind to the macroeconomic deterioration expectations that exist. As of today we are very optimistic that the market will prove to be favorable to the expansion that we plan to have, especially as we start with a much lower market share, but we will be watching this very carefully and with a hyper focus on short term delinquency indicators. 
David Vélez: Hi Jore! David here as well. Just following up here on Lago. I think you know clearly macro is a sort of uncertainty for us and as Lago says, we are taking a very close look into any potential territory for macro and we will adjust any growth expectations if we start seeing signs that we feel comfortable with the risk that we're taking.  That being said, the type of credit products that we're picked – sorry, there is some. Okay, these are two products that give us very good visibility and are very data intensive. They are very short term duration in nature, very high return on equity, very high return on capital. So what gives us the opportunity to react very quickly if you see any duration and there is a lot of buffer and cushion on the profitability of these products.  At the same time, if the macro does take a turn for the worst, we are entering this year extremely well capitalized with all of our IPO, capital effectively untouched and that should also open up for a number of opportunities that we would expect to see. Customers we've seen historically, know our history which we’ve only seen. Unfortunately we've only seen Brazil in our recession effectively since we started in 2013.  Customer tend to become even more sensitive to products that charge them less fees, the products that charge them less interest and that environment has to be an environment where products are so focused on the customer excel. And so that combination or more differentiation with the capital that we have can open up a series of opportunities for us. So net-net we are really kind of observing both sides of the trade, being very aware of some of the risks that we might be facing over the next couple of months, but ultimately very comfortable with the strategy that we are executing. 
Jore Kuri: Thank you, David and Lago. Much appreciated and congrats again! 
Federico Sandler: Thank you Jore for the questions. Next question is coming from Thiago Batista from UBS. Can you open the line please? 
Thiago Batista: Sorry, can you hear me? 
Federico Sandler: Yes Thiago, we can hear you. 
Unidentified Analyst: Actually, Friedman [ph] from Citi and I appreciate the opportunity. So my question is related to a bit of what that we just mentioned. When you look into the illusion of revenues quarter-to-quarter, it expanded by more than 30% gross profit, you know low single digits exactly because of this expected loss methodology you are using. So I understand that we are comfortable with the strategy, but you know I also like to understand how comfortable you are with your excess liquidity.  Asset quality I think is well explained, but you have more than $90 billion -- $9 billion of deposits and at this moment $2 billion of interest earnings assets. So at some extent, this could jeopardized our ability to continue expanding margins and you need to be a bit more aggressive also to be able to capitalize on this difference. Thank you. 
David Vélez: Thank you so much for your question. I think it’s a great provocation and we do believe that in Latin America for you to play in consumer credit underwriting you need two things. You need not only state-of-the-art credit underwriting platform, but you do need to have access to local currency funding at competitive rates and I think as you mentioned, we have now a fairly comfortable funding structure today. Our balance sheet is very simple. We have now about $9 billion of deposits to basically support about $2 billion of interest earning assets, and therefore we have lots of flexibility. Our loan-to-deposit ratios is one of the most conservative that we can find. Going forward, we do expect that we will fund the majority of our interest earning asset portfolio or our credit portfolio in general with our own local currency deposits. And I think you were alluding to also the cost of those deposits. And look, we do have for the majority of those deposits. We pay 100% of CDI, which are the deposits for consumers. But for the deposits for SME's, we have already started to pay 0% of CDI; and thirdly I think the credit card working capital structure in Brazil is also very favorable for the issuer, because it has a negative working capital scenario. So as we grow no credit card. It increases the flows to which we expect. Going forward, we do expect to remain and to pursue you know the lowest possible cost of funding for us and we will be watching carefully the percentages that we have and the value proposition to our customers as to how we can price the deposits in the coming quarters and years. 
Unidentified Analyst: No, that's perfect. If you allow just a follow-up, on the point about expansion of revenues versus gross profit, you alluded to how you see the effects of IFRS in slide number 23, and you know using this as a reference and I also want to just mention in terms of you know cost of funding. When do you think in your strategy we are going to see you know the gross profit accelerating, more aligned with the revenue profit? Thank you. 
David Vélez: It's a great question. I think I even know – take advantage of turning your attention to slide 24 that Youssef has highlighted, and as you can see there, at maturity our products converge towards a 60% plus risk adjusted margin. So we expect that we will converge towards a much higher gross profit margin as the growth rate in our interest earning assets now stabilizes.  As long as we have no high growth in interest earning assets, we should expect to see the expected credit loss provisioning putting pressure on our gross profit margins, even though it is an intentional time mismatch. Once they converge at maturity, all of the cohorts have converged towards a 60% plus risk adjusted margin. So it's a – your question is probably, when are we going to start to post much lower growth rates, its where we’re going to achieve the 60% or closer to the 60% risk adjusted margin. It is also a function as you may have seen of the ratio between the front book and the back book. Even as we continue to grow, the back book will continue to gain relevance, relative requirements, and the more relevance the back book has, the higher the gross profit margin should get. 
Unidentified Analyst: That's perfect. 
David Vélez: And Jorg [ph], the way you’re deciding a bit of, even a little bit more of additional context, I think it’s worth taking into context that we, by now we have something like 30% of the entire adult population in Brazil as customers. But we only have something like 1% market share in their consumer lending portfolio, which is the largest profit pool in the banking sector in Brazil.  And when we go and talk to our customers, we are seeing us getting the highest net promoter score in that product consistently and so it would kind of take us to conclude that over a period of time we should be able to see our customers refinancing on one of the existing loans with Nu Bank and now it’s gaining a proportionally much higher market share, similar to the market share that we have from a customer perspective. So there is – all of this to say that there is a significant amount of growth ahead, and the size of the customer base is a bit of a leading in – the customer base multiplied by the NPS is a leading indicator to future market share gains in some of the financial products that we have, and so we really are in the very, very early stages of that growth projection, growth trajectory in some of these products. 
Unidentified Analyst: That makes sense. Thank you very much for the explanations. 
Federico Sandler: Thank you, Jorg. The next question is coming from Thiago Batista, UBS. Can you open the line please?
Thiago Batista : Yes, hi guys! Thanks for the opportunity. I have two follow-ups. The first one is about the most recent Cohorts of Nu Bank. When you look for the new clients, I do believe that they have the same potation for the part of the old clients or no, the clients are not so good as in the past. So I want to understand if the new clients, they have the same potation of the old ones. And also the second question or the second follow-up is about asset quality. You had mentioned that the ratio should return to the peak of its level. Nu is still well below this level. Do you have a sense if this is expecting to happen even this year or no, this should take a couple of years to return to this pre-COVID level.
David Vélez: Thiago, thanks so much for your question. Let me address maybe the revenue potential that you alluded and then I'll invite Youssef to address the asset quality question that you posed.  So look, in our new customer, our marginal customer has proven to be not as profitable as the older ones, especially if you look at the slide 13. You can see that as we launch more products and as we launch more features, you will – basically you have been able, even for the earlier cohorts to have growth curves that are at par if not better, then the growth curves of the older cohorts.  As I mentioned before, it's not only because of the faster duration of the customers, but also because we now have much more products and features and we can offer a much more comprehensive value proposition to the customers. In terms of overall potential, if you take a look at the ARPAC of no incumbent banks in Brazil, they are about $35 to $38 per active customers per month. We are still at now about $5 per active customers per month. The more mature cohorts are already at 15. So we believe that we still have a gigantic gap to close, in both proprietary products as well as third party products. Your question also alludes to, but what about the new customers, the marginal customers? Are they as no profitable and as promising as the older ones? And I think we are – basically we have made very good strides into the younger middle class in Brazil as we evolved. We are converging toward now the average demographics of Brazil and we are making very good strides into the up market, as well as good strides into now reaching deeper into the unbanked. The balance of those two things so far has proven to be very promising as you can see in the cohort, which show kind of cohort lines that are even better than the older ones. Youssef, would you also be able to shed some light on the asset quality question the Thiago posed?
Youssef Lahrech : Yeah, I'd be happy to Thiago. So with respect to asset quality and the trajectory there and the outlook. So as I said before, we expect the credit environment to normalize back to pre-COVID levels. And if you look at what's happened over the last two years as we entered the pandemic, you know we've seen extraordinarily low levels of delinquencies in NPL's, but they started to normalize back in the last few quarters.  In fact, our expectation was that normalization would take place, that was our expectation all along, and if anything, it's been normalizing slower than we expected. You know we thought this process would take maybe six to 12 months. You know we are 24 months into the pandemic and still slightly below pre-pandemic levels in terms of the delinquencies, but we expect that to continue to normalize going forward, so that's our baseline scenario.  Now, as I've said before, as part of our credit underwriting philosophy, we expect every loan every credit card grants, every credit limit grant that we do to go through a downturn. That's the level of risk that we underwrite to, and so as a result it gives us really strong levels of resilience. Our cohorts on aggregate are able to take in you know roughly a doubling of risk and still be NPV positive and so we feel very comfortable with the level of resilience that we have inherent in our portfolio. 
Thiago Batista : Very clear. Thanks Youssef and Lago. 
Federico Sandler: Thank you. Next question is coming from Darrin Peller, Wolfe. Thank you.
Darrin Peller : Hey guys! Thanks. When I look at the user growth numbers, obviously it continues to look strong. We've seen a lot of our – a lot of other digital companies that are going to pull forward in the pandemic. Maybe you can just walk through the main driving forces of that strength we're seeing, whether it's geographic or new product. And then just to underscore the underlying customer acquisition costs that seem to still be strong as you grow into those new geographies and products. Anything we should expect about that to change in terms of your CAC that we've been able to see somewhat industry leading? Thanks guys.
A - David Vélez: Sure, thank you. Thanks also for the question. So we think the market has gone through several stages and is not that different from any other technology adoption curve, where you begin really addressing the early adopters, and in fact we start to very much focus on those early adopters and basing these early adopters that were the traditional early millennials that were much eager to adopt digital solutions. And I would say somewhere around 2017, ’18, ’19 you start kind of breaking away from those early adopters to really grabbing the main market and I would say that's probably where we are today.  This has become, the digital banking solution has become embraced by I would say a very significant percentage of Brazilians already. Pandemic accelerated that adoption among certain segments that were historically a bit more skeptic segments, such as people are about 60 years old segments that really were very much heavy into offline branches. Since all those branches were closed, people had no other option than starting to using a lot of the digital channels and since we were the category leader, we are the category leader in the digital banking solutions, they tend to flock to us before they go to consider any other options. So that's mainly the reason why we now started seeing actually our core growth accelerating, and we started seeing our segments expanding beyond their core millennial population, and this gets accelerated by our ability to launch new products. So three years ago we had one product, a credit card, and then we launched a savings account. Now we go to market with a credit card, savings account, personal loan, insurance, a market place, both for consumers and small businesses.  So the value proposition is much more robust and complete, and that helps us get through these skeptical that we’re saying, no it’s very painful to have different banking solutions. Whenever you launch you know a personal loan, I'll go to Nu Bank. We see that a lot from customers that says, I'm still waiting, when are you launching the following product, when are you launching the following product.  So I'd say those combination of forces for the market, embracing fully digital banking combined with our ability to provide more products, reinforces the growth adoption, and ultimately customers are coming. Why are they coming? They are coming because it's a better experience and lower cost, almost a very simple kind of equation. Better experience is the combination of fully digital products, great customer service, very easy to use, very simple interfaces at a lower cost, which has no fees and especially in personal lending, but in certain segments in credit card we also are trying to bring costs and interest rates lower and lower and lower.  So it becomes almost like effectively a no brainer solution. Why would you stay with a bidding company that charges you more and makes your wait to the big – makes you wait and go to the big branch when you have an actually better solution. So we expect this really trend to just accelerate across all the different demographics and be even magnet – increased and augmented by the product roadmap that we have ahead over the next few years. 
Darrin Peller : I appreciate that. The customer acquisition costs you think can be stable, and just one quick follow-up is on partnerships. I know that's also been a great source for you guys to add incremental offerings and probably attract customers. Is there progress on the incremental company partnerships and different verticals such as insurance or trading like you've done before? Thanks again guys. Nice job!
A - David Vélez: Sure, yeah. So this is where we mentioned as what we call the market place, that we really launched towards the end of Q4, so it’s very early. But we already have over 20 different partners from a number of different e-commerce, businesses that are offering their products to our customers via our app. We have secured lending products such as credit tests that offer secure lending for home equity and auto equity, and such like that. We have a number of different partnerships that we're announcing. Now that we have the right product architecture and technology platform, it becomes much easier to launch the second, third, 10, 15, 20 different partnerships. We want to do it in a way that maintains the simplicity for the customer and we actually do not want to pollute the entire experience and see our customers end up with 10,000 SKU’s. We want to be very deliberate and very careful about the type of products that we offer our customers and the type of projects that we have, so we're taking our time to do it right.  But ultimately we think this is a huge opportunity, because we're able to use the scale that we have to bring better solutions and offers to our customers, increase and accelerate the fly wheel of the higher developed opportunities. The more customers come, the more they invite their friends and they maintain the lower customer acquisition costs and reinforce that by proposition. So we’re very excited about the marketplace, early marketplace moves. 
Darrin Peller : Thank you, guys. 
Federico Sandler: Thank you, Darrin. Next question is coming from Neha Agarwala from HSBC. Can you open the line please?
Neha Agarwala: Hi Federico! Can they hear me?
Federico Sandler: They can hear you Neha. 
Neha Agarwala: Congratulations team on the inaugural quarter! Very good results. My question is more on asset quality. It's good to see the asset quality trends that you’ve showed in the presentation. The NPA ratio for the consumer finance book is about 3.5% right now, but if you expect it to go to pre-COVID levels of say 4.3%, 4.5% during this year, what does that mean for your cost of risk? The cost of risk for this year has been going up through the quarters and for 2021 was about 10%. Given that the ECM model requires you to provision up front, would it make sense for the cost of risk to go up to say 13% to 15% in 2022 or what level do you think would make sense? Thank you. 
Youssef Lahrech: Hi Neha! This is Youssef. Thank you very much for the question. So first up, as Lago mentioned earlier, we don't provide financial guidance around this metric, but if you were to think qualitatively about the trends that have been playing out and we expect to play out that impact, NPLs and cost of risk, I would say there's two main things at play.  One is the continued normalization to pre-COVID levels. As you rightly pointed out, we expect that to continue to put upward pressure on NPLs and translate it to you know slightly higher coverage ratios and slightly higher cost of risk.  The other one is the mix of credit assets that we book. Our lending portfolio has been growing relatively faster than our credit card portfolio and it also comes with both, higher margins and higher risk levels, so we expect that to put also upward pressure on things like NPL and cost risk. So you know positively I think those would be the two main drivers going forward that we expect.
Neha Agarwala: Thank you so much. If I could follow-up and I know you don't provide any guidance regarding loan growth, but given the macro environment today, would your preference be more inclined towards growing your loan book faster or maybe building out your platform, focusing more on the fee side of the business rather than on the interest income side of business. And what level of growth should we expect, especially in the personal loan book? I mean no specific numbers, but I mean should it be similar in terms of nominal increase in the loan book or should it be similar to what he saw during 2021? Do you expect to slow down growth, especially in the personal loan book for this year. Thank you so much.
A - David Vélez: Yeah, great questions. So on growth levels, you know our outlook as I mentioned earlier is you know for this continued normalization of pre-COVID levels, that's our baseline scenario, you know under which we would continue to grow at a healthy pace, you know both credit cards and lending and we feel very comfortable with that base like scenario, because there's a lot of resilience built into our cohorts. This come with very short paybacks, very high margins as you saw in those slides and they are a very short duration. You know our restorations are around six to seven months for loans, so we feel very comfortable with that short duration and should conditions materially deteriorate, we feel good about our ability to detect that and to act faster, and to act fast to pull back if needed or take any other resilience building actions around pricing, around collections intensity, etc. So we're prepared to act should things deviate from our baseline. 
Neha Agarwala: Thank you so much. 
Federico Sandler: Thank you, Neha. The next question is coming from Geoffrey Elliott from Autonomous.
Geoffrey Elliott: Hello! Thanks very much for taking the question. The fourth quarter is always a strong one for spending and card TPP in Brazil. Can you give us a flavor of how much seasonality is there in the numbers? How much strength in revenues persist versus being part of it an impact of the fourth quarter being strong, and then likewise any kind of seasonal impacts in expenses or anywhere else in the P&L that we should be aware of?
A - David Vélez: Sure Geoff. Thanks so much for your question. It's a great one. I think you can take a look a little bit about seasonality on slide 15, where you can see the evolution of our purchase volume. And yes, the fourth quarter of each year has historically been a strong quarter in terms of purchase volume, but overall if you take a look at our growth, the overall growth of the company in terms of number of customers, in terms of purchase volumes and in terms of cards has out weighted the volatility going forward.  So we don't expect that we will have in 2022 a behavior that is materially different than one that we have seen in 2021. It is also the case that there is some seasonality in terms of cost of risk throughout the year. We also expect that 2022 will follow a relatively similar trend as we see in the Brazilian market. 
Geoffrey Elliott: Okay. Could you remind us on the seasonality and cost of risk, how does that play through?
A - David Vélez: Yeah, I think historically you can see that delinquency are usually lower in the fourth quarter and higher in the first quarter of each year; that's normal season trend that we see in Brazil, and quite honestly that we see elsewhere in the world. That is something that we are also expecting to see going forward. 
Geoffrey Elliott: Thank you. 
A - David Vélez: Thanks Geoff. 
Federico Sandler: Thank you, Geoff. Next question is coming from Gustavo Schroden from Bradesco. You can open the line. 
Gustavo Schroden : Yeah. Hello! Can you hear me?
Federico Sandler: Yes, we can hear you. 
Gustavo Schroden : Yeah, no thank you. Thank you for taking my question and thanks for the presentation. It's a very simple question. I just would like to understand how was the impact from the higher cash position due to the proceeds from IPO in your interest income, especially because we could see the trading gains, trading gains were stronger this quarter. Just I would like to just add, how was the impact and what should we expect in terms of consumption of these proceeds. Thank you. 
Guilherme Marques do Lago: Hi Gustavo! This is Lago. Thanks so much for your question. The contribution of the proceeds of the IPO to our revenues and 2021 or in the fourth quarter of 2021 has been very, very small. Well basically IPOs and the financial settlement of the transaction happened towards now mid-December and the exercise of the Green Shoe actually happened in the first week of January. So there has been little impacts of proceeds. In terms of trading gains, it's a great opportunity for us to clarify. If you take a look at our interest revenues, it is basically compounded by three things: The interest that we earn on credit cards, the interest that we earn on personal loans and the interest that we earn on our cash. The financial statement describes this as gains and losses on financial instruments, but they are nothing more than the evolution of our very large investments in treasury bonds, so we have a very conservative cash policy and treasury management and we expect to continue to have very conservative policies going forward.  Your third question was on the use of proceeds of the IPO if I’m not mistaken. And we do expect to use this for working capital and general corporate purposes in general. But I would say that primarily to expand and fuel our international growth in Mexico and Colombia, we are very bullish on the potential of those two countries. If you take a look at just now the sheer size of Brazil, Mexico and Colombia combined, those three countries account for about 60% to 62% of the GDP and population of Brazil. And Mexico and Colombia combined have a population that is almost the same size of Brazil.  We have about 30% of the adult population of Brazil being active customers of Nu. We have less than 1% of the combined population of Mexico and Colombia being customers of Nu. So I think a relevant portion of the IPO proceeds will be directed towards our international expansion in industrial countries. 
Gustavo Schroden : Okay, very good, very clear Lago. And just a follow-up on the interest income. It was very strong indeed and I'd like to understand, how have you seen the re-pricing process given the high interest rates? I mean when I talk to the other banks, they are saying that there’s some competition and that when you compare it for less interest rate hikes, this cycle has been more difficult to reprise. I'd like to listen how do you see that, and how Nu Bank has been able to reprise?
Guilherme Marques do Lago: You know it's a great question Gustavo and we have historically seen in the asset classes in which we play; credit card and personal loans, that repricing has been faster than what we have seen in many other asset classes. In fact once we see the reports that have been put out by the Brazilian Central Bank over the course of the last six months, you have seen that the market in general and with respect to credit card and personal loans has been able to reprise relatively fast, and not only defend net interest margin, but also even expand largely the net interest margin in general. We at Nu Bank however, we expect that we will always be very competitive in terms of pricing, primarily in personal loans, but we will and we have kind of been very fast and swift in reposition and reprising our products accordingly. We have not seen and we do not experience and we do not expect to see any material challenge in repricing short term credit products going forward. 
Gustavo Schroden : Thank you, Lago. Very clear, thank you.
David Vélez: Thank you, Gustavo 
Federico Sandler: Next question is coming from Alexander Markgraff from Keybanc. Can you open the line please?
Alexander Markgraff : Yeah, hi team! Thanks for taking the question and nice to speak with you all. A couple of questions, just first around credit. Just more qualitatively, in your baseline scenario you anticipate taking a more conservative approach to credit underwriting in ‘22 versus ’21. If so, are there certain segments of the retail market that you might see as more affected by this kind of change and underwriting stance and if not, do you see an opportunities to grow with customer segments, to the extent that some of your peers are maybe pulling away from in a more challenging environment?
A - Youssef Lahrech: Hi Alexander! This is Youssef. Thanks for the question. So again, our basic underwriting stance is always to underwrite to future risk worsening. Like I said, we expect and we underwrite every loan, every credit card grant to an expectation of – that it will go through a downturn and it needs to be ANPD positive in a downturn. So given that, we feel comfortable you know continuing with our growth trajectory. But that being said, we keep a – we're keeping a very close eye in monitoring our very segments and products, looking at leading in delinquencies, looking at the general micro environment, and we feel prepared to both, pull back if needed in places where we see a degradation that is faster or more severe than we assume or to take advantages of opportunities conversely where we see a competitive window to grow market share faster or provide more competitive offers to customers. 
Alexander Markgraff : Thank you. And then just quickly on marketing expense, it came in a bit lower than we had anticipated. Maybe just again kind of qualitatively speak to priorities with respect to marketing expense in ’22. How do you plan to balance more top of funnel type efforts versus targeted spend to drive adoption of some of the newer products that you called out this quarter. Thank you. 
David Vélez: Hello! Lago are you there? 
Guilherme Marques do Lago: Yes, sorry we could – I could not hear. Can you repeat the question please? I apologize. 
Alexander Markgraff : Yeah, this is Alex, sorry about that. Just with respect to marketing expense, came in a bit lower than we had anticipated this quarter. Just wondering if you can speak to again qualitatively priorities for ‘22 and how you plan to balance more top of the funnel type marketing spend versus perhaps more targeted spends to drive adoption of some of the newer products that were called out this quarter? 
Guilherme Marques do Lago: Yeah, no it’s a great question. We do expect that we will continue to have, very strategic market spend, especially on paid marketing. I think our customer acquisition cost has been mentioned at the beginning of the call, has been amongst the lowest that we’ve seen in the market. We have a customer acquisition cost of about $5 per customer, off which paid marketing accounts for only $1.  We expect that as we are going forward that this will go up and we will lean in more aggressively in customer acquisitions, not only in Brazil but primarily Mexico and Columbia, but we should not expect to see any material deviation from the LTV to CAC equations that we have shown to the market going forward. So I would expect that though marketing will slightly go up, but it will now be a stepping change to what we have seen in the past. 
David Vélez: We do see an opportunity and we will probably be investing a little bit more in marketing, in repositioning the product better in certain segments, where we're not that well known. So we launch [inaudible] which is our product directed towards high income population in Brazil last year. We're very excited so far with what we've seen. There is an opportunity to build more that brand in that segment, and we will be doing that. We also announced to be one of the sponsors of the FIFA World Cup. So there will be some marketing investments surrounding that specific event.  So we are actively asking ourselves the question is, are we actually spending too little? Because when you look at the LTV calculations that we even discussed a lot during the IPO, in a market that require more competitive with the type of capital that we have and the type of returns that we see in that LTV to CAC there is opportunity to actually be even a bit more aggressive. So that is sort of the question that we're always balancing, but in general you could even double CAC and still not really move the needle in terms of the LTV to CAC that we're seeing in some of the customer segments. 
Alexander Markgraff : Great! Thank you for thoughtful response.
Federico Sandler: Thank you, Alex. Next question is coming from Pedro Leduc from Itaú. 
Pedro Leduc: Thank you guys for taking the question. A little bit back sorry on the NPL’s. You’ve shown a good behavior and you shrunk both credit cards and personal loans on that chart. If we could try to dig in here a little bit, maybe how each of these lines behave and awareness, this is fairly, rather recent. And if you could remind us if you have a relevant renegotiated book and what our strategy is for recoveries, both in terms of internal efforts if you're engaged or plan on doing selling portfolios as a strategy to mitigate risk. Just picking your brain here. Thank you. 
Youssef Lahrech: Hi Pedro! This is Youssef. Thank you for the questions. So let me try to address them one by one. You are right, in terms of both credit card and lending both products have generally performed as expected in terms of NPLs and delinquencies. We’ve seen that same gradual return to pre-COVID levels in both. They are actually slightly below those levels, but trending gradually towards that, which has been our baseline expectation.  You're asking about renegotiation. So yeah, we do provide that option to customers. We take a pretty conservative approach to renegotiations of loans and follow regulatory guidance around that and provision accordingly. If you look at our renegotiation volumes, something we monitor, because of the volume and the performance of renegotiated loans, it has been remarkably stable in the last 12 months or so or even more than that. So I guess there’s been no real change in that approach over the last several quarters.  You were also asking about asset sales. This is not something that we have done in the fourth quarter, but it is a lever that would be part of things you know we might do in the future, should the conditions call for that. 
David Vélez: And further if may just add to this and following maybe a discussion that we may have had in the past is, even the refinancing or restructuring that we doing credit card, they are entailed within our credit card delinquency and provision numbers and they do not affect or influence our business in personal loans. So it’s super important for us to keep those two products completely separate, and we don't use personal loans to affect positively or negative the delinquency of credit card. 
Pedro Leduc: That’s very useful, [inaudible] and especially they are very good comments of the book being stable, that’s just very good. Thank you.
Federico Sandler: Thank you, Pedro. Next question and last question is coming from Mario Pierry from Bank of America. Can you open the line please? 
Mario Pierry: Hi guys! Thanks for taking my question. Let me ask you two questions, both follows ups. One – the first one is when you mention that you have a very high NPS score on your retail loans. I wanted to understand a little bit better, what gives you a high NPS? Is that you are charging lower interest rate, you're making more credit available or what exactly drives a high NPS score on a retail loan. And if you can tie that in with a previous question in terms of the repricing of these loans, right, as you mentioned, your deposits – your retail deposits are to individuals, they are basically linked to CDI. So as the CDI has going up your repricing your portfolio as you mentioned. But are you able to fully pass on these higher funding costs to your clients or are your spreads compressing a little bit. So that’s the first question, then I’ll ask the second follow up. 
David Vélez: Hi Mario! Thank you for your questions. First on the NPS, on loans, it ends up being always a bit of a combination of better products or better quality and lower costs. We tend to operate our products on both ends, and on the personal loans just specifically, the higher quality or better product is a function of the user experience. The fact that consumers can get a loan, is a very easy process to get. You could get it immediately deposited in your bank account. We have real time algorithms that are understanding consumer patterns and every time our algorithms are able to approve a loan, the consumer gets a message that a loan now is available, and should that person needs any support, it's very easy to reach our customer support team and really answer any question. So that's kind of the – on user quality site, is the digital aspect and the consumers support.  And we generally also offered that at a lower cost. So we try to price today at something about 30% below the market average. And we tend to be very well maintained and aggressive kind of pricing to maintain this equation and ultimately driving to a very high NPS. So that's the NPS side.  On the cost of CDI we actually, we effectively passed all of – are able to pass 100% of that CDI increase to consumers without a bit of benefit in their account for small businesses, where we do not offer 100% of CDI as part of the value proposition. We're not offering any yield. So we actually benefit, net benefits on an increasing CDI environment from that perspective. 
Youssef Lahrech: And Mario, if I may just add to what David said on the interest rates. Usually a rise in interest rates is very positive for consumer banking and I think it is no exception for us. It's neutral to net positive for us. But I would just highlight our, the structure for balance sheet, which is very simple, right. So, on the right side of the balance sheet we have $9 billion of interest bearing liabilities for which we pay 100% of CDIs we mentioned. $6 billion of non-interest bearing liabilities and $4 billion of equity, total $19 billion.  On the left hand side of the balance sheet, we have $13 billion of cash and equivalents; two billion of interest earning credit portfolio and $5 billion of non-earnings credit portfolio, which is the credit card receivables, also of course totaling $19 billion. So when interest rates go up, the cost on our $9 billion interest bearing liabilities go up, but the revenues on our $15 billion interest earning asset go up. So it’s a net positive for us. Just wanted to highlight kind of the overall structure of the balance sheet and therefore the impact of interest rates to our business. 
Mario Pierry: Okay. No, that’s helpful, and then my second question is related to your client base in Mexico, right. As you mentioned, you already have 1.4 million clients, that's about 2.5% of your client base. So just help us think here, at what percentage should Mexico be of your total clients by the end of next two years, and how should we think about the profitability of a Mexican customer versus a Brazilian customer. Do you see any significant differences in our products between Mexico and Brazil? 
David Vélez: Mario, it’s a great question. So I think in terms of population, sorry in terms of number of customers, overall we would expect that in the long term the percentage of our customer base in Mexico could basically represent or narrow the population in Brazil and Mexico. Eventually with the upside case to be made in Mexico, which is where no banking penetration, card penetration is so much lower than Brazil, our relative market share in Mexico can eventually prove to be even greater than it is in Brazil.  In terms of profitability of the customers in Brazil and profitability of the customers in Mexico, there are a pack of the customers in Mexico, we expect to be is likely no lower in the short term than they RPAC of our customers in Brazil, especially because we’re going to be launching there with credit card and bank accounts in the coming two to three years.  Now the flip side to that is that, the credit card is a much more interest bearing balances heavy product in Mexico compared to Brazil, and therefore the unit economics there can be even healthier. In general however, we expect that RPAC of Mexican consumer will be anywhere 20% to 30% lower than the RPAC of a Brazilian consumer in the long term. 
Mario Pierry: And this difference in RPAC, again does it reflect lower disposable income or lower income in Mexico or does it mean that your ability to cross sell products in Mexico should be lower than in Brazil.
David Vélez: I think the ability to cross sell products in Mexico should be as good as it is in Brazil. Do I don’t think it is a matter of product cross sell potential, it is a matter of timing. It will take us more time to achieve the product portfolio that we have in Mexico. So if you take a look over the course of the next five years, we think that the RPAC of the Brazilian consumer will still be slightly higher than the RPAC of an average Mexican consumer that are customers of Nu Bank.  If you take a look in fact in terms of disposable income and maybe the best proxy for that is Nu average GDP per capita. The GDP per capita of New Mexico is about 25%, 20% to 25% higher than Brazil. So there's a case that in the very long term the Mexican consumer could be as profitably or more than the Brazilian consumer. That is not what we have in our mind for the next three to five years, because of the stage of maturation of the operations in those two countries. 
Mario Pierry: Guys, thank you very much. Very clear. 
Federico Sandler: Thank you, Mario. That takes care of the questions. I’m just going to pass the floor to David for closing remarks and we can wrap the call. 
David Vélez : Everyone, thank you very much for your time. It was a pleasure to talk about our results. We are very excited about what's coming ahead for new and we look forward to continue delivering that customer obsession and the financial results that come together with that. Thank you very much for your time. 
Operator: The Nu Holdings conference call has now concluded. Thank you for attending today's presentation. You may now disconnect.